Operator: Welcome to the Equinix conference call. All lines will be able to be on listen-only and we’ll open up for questions. Also, today’s conference is being recorded. If anyone has any objections please disconnect at this time. I’d like to turn the call over to Jason Starr, Senior Director of Investor Relations. Sir, you may begin.
Jason Starr: Good afternoon and welcome to Equinix’s Q1 2010 results conference call. Before we get started I would like to remind everyone that some of the statements we’ll be making today are forward-looking in nature and involve risks and uncertainties. Actual results may vary significantly from those statements and maybe affected by the risks we identified in today’s press release and those identified in our filings with the SEC including our Form 10-K filed on February 22, 2010. Equinix assumes no obligation and does not intend to update or comment on forward-looking statements made on this call. In addition, in light of regulation fair disclosure, it is Equinix’s policy not to comment on its financial guidance during the quarter unless it is done through an implicit public disclosure. In addition, we’ll provide non-GAAP measures on today’s conference call. We provide a reconciliation of those measures to the most directly comparable GAAP measures and a list of the reasons why the company uses these measures in today’s press release on the Equinix Investor Relations page at www.equinix.com. We would also like to remind you that we post important information about the company on the Investor Relations page of our website. We encourage you to check our website regularly for the most current available information. With us today are Steve Smith, Equinix’s Chief Executive Officer and President; Keith Taylor, Equinix’s Chief Financial Officer; and Jarrett Appleby, Equinix’s Chief Marketing Officer. Following our prepared remarks we’ll be taking questions from sales side analyst. In the interest of wrapping this call up in one hour we would like to ask these analysts to limit any follow on questions to just one. At this time I’ll turn the call over to Steve.
Steve Smith: Thank you, Jason and thanks to everyone for joining us on the call today. I’m pleased to report that Equinix delivered a very solid first quarter result with strong global performance. Both our financial and operational key performance indicators continue to improve on a sequential basis. Reflecting momentum in our business globally and a healthier market environment when compared to last year. Financially our revenues in the quarter where $248.6 million just about the high end of our range and up 25% year-over-year and our margins can may even stronger with cash gross margins at 66% and adjusted EBTIDA margins at 47% both of our expectations. A customer demand supported another solid bookings quarter with particular strength in our European region we saw continue success without bound deal flow from US multinationals, demonstrating the value of our unique global propositions. Most importantly, our pipeline remains strong with many deals in the later stages of our sales cycle, providing us good visibility for our overall goals for the year. On the operational front, our IBX reliability metrics in all three regions whereas high as we've experienced in several quarters indicating that our deep focus and continue to investment and eliminating single points of failure and enhancing our predictive and preventative maintenance procedures are paying off. As we often said our operational reliabilities the number one reason our customers select us. We believe there is a direct relationship between this operational excellence in our historical and future growth rates as well as our market leading position. With these kinds of financial and operational results early in the year, we're well positioned to execute on our 2010 plan and then recurring revenue model there is nothing more important and getting after a quick start in the first quarter. Shipping the discussion to longer term view as we mentioned on our last call we began to operate within a three year rolling plan that supports our longer-term opportunities, which has a reminder we believe to be an excess of $2 billion in annual revenues. The key elements of this plan will continue to be our investments in our capacity and scaling our team to be able to operate more effectively on a global basis, while deepening our penetration into our key ecosystems all of which collectively provide us the differentiation and competitive advantage that Equinix and of our customers enjoying. I’ll touch on the importance of these investments later on the call, but let me take a moment here to quickly update you on a lot of expansion plans. As we announce today we have made their decision to proceed with the additional expansions in our Dallas and Amsterdam markets. Also since our last call we opened about London 5 IBX and we expect 4 IBX to become operational in the coming days. As a reminder and as listed on our extension tracking sheet we also have projects under way in New York, Silicon Valley, Washington, DC, Frankfurt, Hong Kong and Singapore. We are excited to add this at its capacity underway to continue to address the high demand we see in these markets, that the completion of these we expect to be in a very good position from a capacity standpoint in the majority of our markets through 2011. Of course also in the quarter we completed a very successful financing. Rising $750 million of senior unsecured notes 8% and 118% the sense funds will support our continued to expansion efforts and provide us the opportunity to better manage our capital structure. As you maybe aware we recently simply used $105 million of proceeds to repay our Chicago construction loans at 4% discount and we intended repay our European financing by the end of the month. This financing also provides additional funds for the proposed Switch and Data acquisition which we estimate where required about $300 million in cash obligations. The excess proceeds the long one cash on the balance sheet provided us with great deal of operating and strategic flexibility a key advantage during this period of industry growth. They quick update on Switch and Data transaction and as we previously mentioned, Equinix and Switch and Data received the second request for information from the department of justice and connection with antitrust review of this transaction. We are both complying with this information request, and are now in discussion with the DOJ relating to the review of the transaction. We reiterate our prior expectation of closing this transaction in the second quarter. Top core you team has been extremely productive over the past three months, so let me start here and turn the call over to Keith walk you through our Q1 results, over to you Keith.
Keith Taylor: Great, thanks Stephen. Good afternoon to everyone on the call. To getting laid into I will start with revenues. Our Q1 were $248.6 million, a 3% increase quarter-over-quarter increase consistent with our expectations and up 25% over the same quarter last year. The US dollar remain volatile during quarter resulting in an net FX benefit of $1 million when compared against the Q1 guidance rates at a negative $4 million impact when using average rates from the prior quarter. US revenues increased $148.5 million a 3% increase compared to last quarter consistent with our expectations reflecting higher churn experience in the last two quarters of 2009. Some capacity constraints in our US market as well as some delayed billings in the quarter. European revenues were $64.2 million in the quarter lack with prior quarter the result of a weakening 01 pattern in the quarter, although using the same average rates, but we use in the prior quarter EU revenues would have been 68 million up 5% increased quarter-over- quarter. Also EU revenues were impacted by the rebooking in prior in our German market related to large content customer but we expect the fully churn during the later half of the year. Although this is offset impart by $900,000 in equipment resell revenue in the quarter. Asia Pacific revenues increased to $35.9 million in the quarter, a 7% increased over the prior quarter driven by continued strong bookings performance in the region strong interconnection revenue and a slight increase in the operating currencies versus the US dollar. As we look forward, we expect the US dollar denominated revenues to approximately 60% of total revenues while we expect the euro and pound denominated revenues to approximate 16% and 10% of total revenues respectively. In Asia Pacific we expect our Singapore revenues to approximately 5% of total revenues. We continue to use $1.36 dollar to the euro, a $1.56 dollar to the pound and a $1.42 sing dollar to the US dollar for our exchange rates for both Q2 and the rest of 2010 guidance. Now, looking at churn; for Q1 our global MMR churn was more than expected and came in at 1.6%. Looking forward we expect churn to fluctuate from quarter-to-quarter throughout the remainder of the year ranging from approximately 1.5%, to 2.5%. For the year, we still expect our churn to approximate on an average of 2% per quarter. Definitely, we’ve adjusted our Q4, 2009 MRR Camature metrics, increasing the originally reported MRR trend from 1.5% to 2.2%, and decreasing the Camature from 2.5% to 2.3%. The change in the MRR churn metric reflects increased churns for soon customer contracts that terminated on December 31, despite the fact that we recognize revenue produce contracts for the entire quarter. Definitely, I wanted to briefly discuss our net cabinet ads the billing to this quarter. Despite our revenue growth and strong booking trends across all three regions, the U.S. experience a poor incremental net cabinet billings metric in the quarter both on the quarter end on our weighted average basis against these expectation. This result was created by higher churn occurring at the end of both Q3 and Q4 of 2009 and with the majority of the U.S. regions Q1 bookings occurring in the last month of the quarter. It muted the underlined performance of this metric. Said differently, we have a healthy backlog of bookings that will turn into billing cabinets into revenues in Q2 and the rest of the year. This result is partially affected by our lack or limited inventory in some of the key markets, including New York thereby our booked incremental sales have yet convert into billing cabinets as would not yet opened in New York-4 Phase III expansion. Let’s moving on to gross profit and margins, the company recognized gross profit of a $115.6 million for the quarter. Our gross margins of 46% although was a reminder, we recorded a favorable $4.2 million added period depreciation adjustment in Europe in the fourth quarter. Excluding this adjustment, the gross margin in both Q4 last year and Q1 this year would have been 46%. More importantly our cash gross margin increased to 66% in the quarter better than our expectation. In the U.S. our cash gross margins remained at 70%, in the quarter in prior due to slower than expected hiring. Having said that, many of the planned hires were made at the later stage of the quarter and we expect them to impact our gross margins for the remainder of 2010. Europe cash gross margins were 56% for the quarter, up 3% improvement over the prior quarter the result of a decrease in the lower margin power revenues in Germany related to the large content I mentioned earlier. These are pacific cash gross margins increased to 65% from 62%, in the prior quarter, consistent with our expectations primarily related to the timing of our repairs and maintenance programs over last two quarters. The weighted average price per saleable cabinet in the U.S. increased to 2,023 versus 2,004 in the prior year quarter, 1% quarter-over-quarter increase and up greater than 9% year-over-year. Consistent with our comments in the prior quarters, overall pricing remains stable and we expect this trend to continue. As a reminder, the increase we’ve seen in this metric is more driven by an increasing power and the interconnection services per average saleable unit versus an increasing spot pricing across our service offerings. In Asia-Pacific, our weighted average price per saleable Cab-E was 1,543 compared to 1,541 last quarter essentially flat quarter-over-quarter and reflects increased billings in our Singapore market. We are average MR for saleable Cab-E slow average MR for the region. With respect to Europe, our weighted average price for saleable Cab-E decreased the 1,135 compared to 1,157 last quarter 2% decline over the prior quarter primarily related to five plus percentage point weakening up for local currencies against the U.S. dollar. Now, looking at our SG&A; SG&A expenses for the quarter were $62.6 million. Cash SG&A expenses for the quarter were $46.3 million, or about 19% of revenues consistent with our expectations. Looking forward the company will continue to manage its discretionary spend prudently although I do expect continued investment in key corporate growth initiatives, including and increasing the size and effectiveness of our sales force continued investment in our new product innovation efforts and investment in our information technology projects that scale our business to better support our longer term growth opportunity. Looking at net income and adjusted EBITDA, for the quarter we generated net income of $14.2 after recording an $8.7 million income tax provision. During the quarter, we recognize at $3.4 million gain attributed to the distribution from the reserve fund and amount that was written-off in 2008 and 2009. Also we’ve recognized a $4 million gain on debt extinguishment related to our Chicago construction loan. These gains were offset by loss of $7.4 million on our interest rates swaps on both the Chicago construction loan and our European loan facility; a loan that we intend to repay by the end of April. Looking at our tax provision, we believe that will range between 35% and 40%, we expect our cash taxes in 2010 to approximate 10%. We continued to believe we’ll not pay any meaningful cash tax and to potentially 2012 primarily due to our strong NOL position. Our adjusted EBITDA was $117.3 million for the quarter, including and approximate $500,000 benefit from foreign currency fluctuations compared to our guidance rate and a negative $1.5 million impact versus the average rates and affecting Q4. Also during the quarter we recognized a $1.9 million expense reversal, which favorably impacted adjusted EBITDA, primarily from the reversal of a portion of our 2009 bonus accrual and a portion of the accrued 2009 sales recognition program. Turning to our balance sheet and cash flows, at the end of Q1, unrestricted cash balances total $1.185 billion, which were reflects the proceeds from our $750 million senior unsecured notes offering, which closed in the quarter. Our DSL remains low at 27 days. Next moving onto account comments on the cash flow, first our net cash generated from operating activities was $99.8 million for the quarter, a 21% increase over the prior quarter primarily the result of strong operating performance, positive working capital management and no semiannual interest payment on our convertible debt during the quarter. Looking forward, the interest on our senior unsecured notes will be paid on at semiannual basis on March 1, and September 1, of each year plus interest on a convertible debt will be paid in Q2 and Q4 of the calendar year. Again, similar to 2009, we experience a strong co relation between our adjusted EBITDA and operating cash flows of 85% of the quarter. Cash using investing activities excluding short and long term cash investments was a $143.8 million for the quarter, by merely attributed to net attributable to our net investment capital expenditures. As you mention last quarter, we’ve started reporting CapEx on a cash basis well consistent with the amount of CapEx disclosed on the cash flow statement as opposed to the movements on the balance sheet. Cash generating and financing activities were $629. 8 million for the quarter, primarily derived from net proceeds from the issuance of our senior unsecured notes in March offsetting part of the $105.5 million pay-down of the Chicago construction loan. Also as we mentioned in last during this call, replant assets are financing options. Although, we’ve completed a very important U.S. financing were still in the process of syndicating our plan $170 million Asia-Pacific multicurrency term facility. The European region, we anticipate will paid down our existing facility by the end of the month. We’ll continue to focus on optimizing our capital structure as part of this objective, we’ll look to maintain greatest degree of operating flexibility given our growth opportunity are also attending to drive down our weighted average cost to capital on an average basis. So at this point, let me turn the call back to Steve.
Steve Smith: Thanks, Keith. So, let’s shift our focus back now to a brief update on some other trends in a quarter on our three operating business. In the U.S., we saw a sequential increase in our bookings with our second best outbound bookings result to European and Asia and still very balanced across all of our key verticals. We also had 77 new customer adds which is the most we’ve seen since Q3 of 2008. Our pipeline remains very healthy with particular strengths in the financial and network ecosystems, as well as pickup in the social media and cloud sectors. The notable wins in incremental orders from the cloud sector included IPsoft, Go Grid, Telayo, Trend Micro and Zoho. From a cabinet capacity in utilization perspective, the U.S. is at 80% utilizations with approximately 5400 saleable cabinet remaining in our inventory, and close to half of these are pre assigned against later stage opportunities in our pipeline. Depending on our win rate from these, we could face some temporary capacity constraints in the middle of the year in three of our six markets, which highlight the importance of bringing on the new capacity in this region as I discussed earlier. Shifting to the European market, we continue to see meaningful growth here, while this success has been masked by the currency headwinds as Keith described. The team delivered a strong bookings result and as mentioned earlier, one several cost regional deals from the U.S. These inbound deals represent an important competitive advantage for us in this market. Our pipeline is stable heading into Q2 and our expansion portfolio has this well positioned to capture this future expected growth through 2011. The team is still focused on developing our customer ecosystems, yet we continue to see very strong demand from the enterprise sector as well. Finally in Asia Pacific, we also had another strong bookings result with a good mix of local and inbound opportunities. We saw a number of new wins in the financial vertical including the Bank of China International flow investing IPC and floor rating. We also had wins from a couple of notable U.S. based internet fronts. Additionally, we had record bookings in both our Sydney and Tokyo markets. So this success has as now looking at some inventory constraints in these two markets, which we expect to address in the short term. In fact our utilization rates in this region increased from 79% to 85%. So as you can see our expansions in Singapore and Hong Kong are well timed. We are also seeing the pipeline developed for our recent entry into the Shanghai markets, but the few deals already in advanced stage of our pipeline. Before I provide you an update on our guidance, since many of you have asked, I’d like to spend a couple of more minutes to explain the importance of further developing our ecosystems with our increased investments and capital and SG&A this year. As we have emphasized over the last twelve to eighteen months at the core of our strategy is our focus to deepen our penetration of key customer ecosystems by leveraging over 410 networks now deployed across our global footprints. There are three factors that underpin or reinforce our value proposition is developing these ecosystems. The first that the fact that we have global reach, this enables us to reach networks, to help networks expand to key markets globally as we’re deployed our IBXs in the major telecommunications subs such as Amsterdam, London, New York and Singapore. We provide the interconnection opportunities between networks in these different geographies, which is important as many need to partner of our interconnect with other networks to expand their global reach. Importantly, globalization is not just requirements for networks. There’s a requirement for all of our target ecosystems and as such enterprises, cloud and financial services companies increasingly require global network connectivity for better reach lower legacy and WAN optimization. About 51 IBX in partner data centers in 19 global markets, create a global service delivery platform for our customers to launch their mission-critical IT infrastructure and achieved improved application performance. Our interconnection services debt is the second factor of wired services are important for our customers.  We provide a wide range of interconnection solutions such as cross connects fiber connectivity, IP and now Ethernet exchange services all of which when layered in what the numerous networks that have installed in our IBXs worldwide enables our customers to quickly and cost effectively exchange data traffic amongst each other. These services provide value not only to carriers, but are also gaining traction with the other vertical ecosystems in our IBXs our content enterprise customers are redefining their global architecture to support the significant growth occurring due to video distribution over the internet and to support mobile applications. Financial services firms are deploying our infrastructure, but close proximity to key trading partners and support of the global shift to electronic trading. Five companies are leveraging our global platform for high availability data center services and network connectivity choice lower latency and improved application performance for their service offerings. Our new carrier Ethernet exchange had another important example of Equinix efforts to innovate our interconnection services to provide our customers with added value.  This exchange, which enables carrier Ethernet providers broadened their each for Ethernet services was launched earlier this month. Ultimately this improve reach will also benefit Enterprise Company, so increasingly preferred Ethernet for it security, scalability and cost of the service capabilities. The third factor is that Equinix is created a compelling marketplace environment for these ecosystems to exist.  Equinix’s value proposition is in just about building out large amounts of data center space, it's also about enabling our customers to generate revenue and improved business performance. So further support this, our team is in the process of developing your window into this marketplace with the development of new global customer portal. This portal will make it easier for our customers to view and procure the full breadth of services available from a many network and IT service providers in our IBX. We also expect this to result in an increase in interconnection services from the transactions. Important to note, our 85% of the cost connections start within our IBX yesterday between a network and another entity, 15% occur between non-networking companies. This means content, cloud, financial and enterprises or interconnecting amongst themselves for direct connectivity and improved performance. We do this as a significant and growing trend that were enabling within the F1(x) marketplace. Applications such as electronic trading, mash-ups, social media, App stores and mobile data, are all critical communities of interest attracted to our model because of the reduction of latency and the ability to have closer proximity to key partners. Ultimately, this will be another important factor and driving our future growth and success. As a landscape for IP architectures in business models continues to evolve, it’s also easy to imagine why a cloud software provider needs to connect to a cloud computing service provider. An enterprise or financial customer might need to connect the book. So clearly we’re excited about the ecosystems that we’re developing, as there are important differentiated for us comprehensively on a global basis. This is a key reason we continue to make a many investments in our expansions, systems and people to grow this. So let me start and provide you with the quick update and our expectations for the year and for the second quarter. As a remainder, this guidance does not reflect any Switch and Data 2010 expected results as a proposed acquisition as not yet closed. We will provide an update on our integration plans and deal the combined companies following the closing of this transition. We expect our 2010 revenues to be in a range of $1.65 billion and $1.80 billion, a $10 million increase of the midpoint of this range from prior expectations. We expect cash gross margins to range between 64% to 65% .Cash SG&A is now expected to range between $210 million to $220 million an increase of $5 million at the mid point of the range. We expect our adjusted EBITDA to range between $470 million to $480 million, an increase of $5 million at the mid point from previous expectations. Shifting to CapEx, we expect this to now range between $450 million and $510 million in 2010, of which approximately $350 million to $410 million is for expansion CapEx. This updated range reflects the expansion projects for Dallas and Amsterdam that announced today and also includes up to $50 million for other 2010 products aren’t ready to be announced. We will continue to provide updates of these expansions at any other incremental projects we may consider. For the second quarter, revenues are expected to be in a range of $258 million to $260 million. As gross margins for the quarter are expected to be approximately 65%, as SG&A is expected to be approximately $55 million and reflects our continued hiring plan across the organization. While this is an increase from our Q1 results, this is important to note that those results also benefited from 1.9 million of accrual that Keith mentioned earlier, and also from the timing of many of the hires that will made late in the first quarter. Adjusted EBITDA is expected to be in the range of $113 million to $115 million and reflect the added SG&A investments we’ve outline. Total CapEx for the quarter is expected to be between $140 million and $170 million, which include approximately $30 million in ongoing CapEx. So in conclusion, I’d like to leave you with some final thoughts before we take some questions. With our first quarter results, Equinix is well positioned to meet our 2010 objectives. Secondly, our current phase of investment is roughly cap of our markets, will help us alleviate some other space constrains we expect to encounter due to our fill rates as the year end falls. Lastly, it’s important to keep in mind that the investments we’re making today are important in our ability to effectively scale this company reinforce our competitive position and to support our future growth opportunity. So with that, Michelle, I’d like to turn it over to you for some questions.
Operator: (Operator Instructions) Your first question comes from David Barden - Banc of America/Merrill Lynch.
David Barden: I guess I’d like to start with just Steve, on the Switch and Data merger, probably more than any other topic we end up talking about now is why did DOJ is taking so long for this deal? Are they contemplating divestitures, if they are does that mean that you’d like to recap the deal or does the deal have less value to Equinix. Could you kind of talk about the state of this transaction, your commitment to it and what is taken to DOJ, so long to review this?
Steve Smith: David, I’ll start and tell you that our commitment has not changed at all. We are completely committed to it that has been a long five months. There’s not a lot else that Keith and I can add to what I’ve discussed so far. We are continue to focus on a Q2 close, but the DOJ is doing their diligence and we’ve complied and at this point all we can really share with you is that we’re end of the Q2 close.
Keith Taylor: David, what I’d say also just further what Steve said, the one thing we have in the agreement, there’s a provision. We have a provision agreement about divestitures or whatever. The company gets to choose what it wants to do, I mean it is still convicting both for Switch and Data shareholders and for our shareholders as well. So, there is a lot of flexibility in the transaction in the definite agreement how it provides for that type of issue.
David Barden: And I guess if I could just follow-up on that with my one follow-up is just, if for whatever reason in the overlap markets, which appear to be the most competitive markets, markets like LA and DC there were divestitures that were required, is there something about a smaller transaction and has any significantly less strategic value for Equinix than the larger transaction?
Steve Smith: Maybe we just cannot comment on that right now unfortunately and you guys just have to accept that fact that we’re complied with call the requirements, we’ve done that here recently and we are just we are selling at a Q2 close, there just isn’t anymore color we can provide you guys unfortunately.
Operator: Your next question is from Robert Dezego - SunTrust Robinson Humphrey.
Robert Dezego: If you could talk a little bit about being some of your larger customers in your pipeline telling you that near term and long term spending plans and as we get comfortable with the pipeline that you are seeing will actually be converted into [solving] environment. And a follow-up to that is, actually follow-up right now is, on pricing power, how long do you expect to see this strength in pricing and are you seeing any competitors or new entrants that are getting more aggressive on price in any of your markets?
Steve Smith: Yeah, let me start Robert, Keith or Jarrett can add in here, the pipeline as I stated in my comments is still very robust across all of the regions. So, there is no change in pipeline consistency conversion rates stages of deals and later stages of the pipeline. So, there’s just no change in the pipeline the pipeline is very, very healthy. And I would say tell you the environment today is much better than it was a year ago and certainly better getting better every quarter. So, our first quarters normally are not historically as robust as our second and third quarters in terms of bookings. And part of that’s tied to the fact that the companies are coming out of the gate in the fourth quarter and they are getting their budgets finalized in the first quarter. We do our sales tick-ups in the first quarter; we do our Presidents Club recognition for the top performance from the pervious year on that quarter. So, there is a lot of activity that goes on in that first quarter, that all kind of weighs in on the performance but all that said, it still is a very, very good quarter for bookings we do expect it to continue pick up as we going into Q2, we’ve had a very fast start early in Q2. So I would tell you that good signals good signs on the pipeline. Pricing, Keith you want to make a (inaudible).
Keith Taylor: There on pricing power and just our confidence around the conversion, certainly I mean you see our confidence in the guidance that we’ve delivered, clearly when you look at the guidance and you take into consideration how we started year with sort of $20 million hit, because of currency we get a sense on how much momentum we believe there is on the business. I think you got to tie that back also to what Steve said earlier on and we said in last call was, making a meaningful investment in the sales. Our sales force have the ability to convert business and convert ultimately that’s going to do as those people become productive is going to drive more opportunity into our pipeline it’s going to allow us to close more and the fact of the matter is we anticipate it should drive an increase in booking, not so much in 2010 but certainly as we look into 2011 and 2012 and that’s sort of the foundation of our three year operating plan that Steve has already – historically alluded to.
Steve Smith: Robert, the only other thing I probably should have mentioned in just a color of what we are seeing from our customers across our verticals, I would tell you that there is three or four big trends that continue to come up in all our conversation with our customers and as that the great Internet, till that continues, so Internet traffic is at the heart of all of our conversations with our customers. I think Ethernet launch that we’ve put ourselves into is at the heart of a lot of networking conversation we’re having, the cloud is taking off so, you want look at any metric or any sizing of the cloud, there is no question on our pipeline, we’re starting to see a tremendous pick up in private and public cloud deployments in our pipeline and we’re converting at a very quick phase. And the last area to tell you that’s active and getting more active as global mobile data and I think you’re going see us getting more and more active in that space as the devices we carry around continually require lots of infrastructure underneath them to make all this mobile data that’s moving around, you know operate. So I tell you that the trends are positive, the trends are consistent amongst most of verticals.
Robert Dezego: Okay, great thanks and on the competitive environment as far as newer entrants or anyone getting aggressive?
Steve Smith: Yes, I tell you that really happens metro by metro and we occasionally see that there is nothing knew this quarter that we haven’t seen in the past. There are aggressive competitors on certain deals and we’re holding our strategy pretty steady that we are just not going to go below our proven threshold; our sales force is very disciplined. Keith and I have mentioned many times, look at any deal that has to go outside of the range that we get to sales forces. We just don’t have to do that very often so that just is a signal that the sales teams are holding pretty steady with the pricing that Keith talked about. So I have nothing on the competitive front other than there is more capital coming into the market it’s mostly aimed in the wholesales space. We’re not seeing a lot of differences in our space in terms of our primary competitors.
Operator: Chris Larsen your line is open.
Chris Larsen: Thanks. I’ll see if I can, I might throw away my first question here on a question regarding switch, but is the 30 day cost, does that still exists with the second round of questions. And then going back to the fundamentals, can you talk a little bit about how you balance the lower paying less profitable large customers and turning them out and particularly here you look at Europe, the spot market is much closer to the U.S. than your average revenue would imply and they just sort of think about how you look at the European market and slowly shifting some of those large low ARPU customers into many small higher ARPU customers?
Steve Smith: Well, let me start Chris, and maybe Jarrett, you guys can add some perspective here, but I would tell you that managing the life cycle of our customers that start small and medium they become large is a big part of our everyday life in this company and getting more and more important to us. So we do have large customers that are growing and I would tell you the ones that are strategic to the heart of any ecosystem, we will tend to do extra things to try to maintain them and maintain key applications that are requiring the networks. We’re still not interested in big sort of farm deployments, but I would tell you with some of these big customers, Chris, if they are in a key ecosystem and they are magnetic in any form of fashion, we are going to work hard to maintain and keep a long term relationship with them. So you will see us do some unique things, you guys won’t see it, but we have some unique things that will help us maintain these customers. There will be other customers that over time they deployed a lot of stuff with us, that’s not relevant to the network density and they are pushing down to lower price points and it looks like it’s going towards a wholesaler model and we will not compete for it, we’ll let it go.
Jarrett Appleby: I think what’s important Chris is the fact that if you look back a few years ago, there is some large content company that you know we’ve talked about in the past where they have moved some of their larger footprints out to their own datacenters, but they are keeping more of their network assets inside Equinix. And like as Steve said, I mean it really is about management of a life cycle of the customer. I think it’s important to realize when we think about our customers IBM being one of our largest customer roughly 4% of our revenues. (Inaudible) one large deployment, it’s number of deployments in each market over a number of markets in regions of the world. And so you have much greater diversity in that customer base and one would otherwise think, I think it’s important to realize that, so what we think about large deployments, Steve spot on about there are some customers who eventually could grow out of us, because their size gets too big not only for our perspective, but for their perspective on a cost model, but there is not that many of them inside the Equinix facilities particularly in the U.S.
Steve Smith: And just to close on that, I think building and we’re having very candid discussion on global architecture. We had the table talking about the trends very frank discussions with our largest strategic or uniquely position to have those discussions of architecture and distributed environments for both discussions that we might had in years ago.
Keith Taylor: We’re in compliance with the DOJ and we’re ended our Q2 close and that’s really all we can share with you guys today.
Operator: Your next question comes from Ilya Grozov - Morgan Joseph & Co.
Ilya Grozov: Can you talk a little bit about the churn not actually came down, did it come down across the board, or their specific regions where you saw the churn to something unique?
Keith Taylor: Yes, overall it did come down across the board, I mean each markets you needs in the absent flows, but overall I mean to get to that result clearly the U.S. has to have lower churn that we anticipate, because it represents such a large pieces of the business, but overall, I mean we just the churns had a very reasonable level right now, and as we look forward we talked about the fact that it will ebb and flow, we’ve talked, I’d mentioned at least in my piece that in Germany there is a large content customers that we acquired in an asset many, many years ago, that before I asked Europe and they ultimately churn out into their own infrastructure at some point and that's what we we’re really talking about that. No lot of margin involved, so it’s not a big issue, but you’ll see it reflected we’d see reflected in our candid churn metrics and you’ll see it reflected in our MRR churn metrics, but it really doesn’t have a meaningful impact on the business.
Operator: Your next question comes from Frank Lawson - L&L Enterprises LLC.
Frank Lawson: Can you give us a little more update on the Chinese operation, you said be in close to Singapore. Can you give us an idea of with that is in and just wanted to and then also the follow-up on we said that 5,400 cabinet left in the U.S. is that what you said, if you can comment on that trend and where is that relative to prior quarters as far as the capacity standpoint and how do you think that’s going to trend for the rest of the year?
Steve Smith: I'll start with the 50 point of cabinet, I think that’s I forget whether it was last quarter it might have been a little bit more capacity than that, I mean that’s a pretty standard if you look at that Cabinet capacity across each of the six markets or there is big change or surprises there. Half of those cabinets are pre-assign meaning and our pipeline right now we’ve dedicated space to certain customers and we obviously got to go close them, as I mentioned in my remarks, depending on how with the win rates looks like, we could start filling some of these things up are and we’re going to capacity constraints in two or three of this markets shared by mid-years. So all of that built into the timing of the new capacity coming on, but unfortunately we are restricted in a couple markets in the U.S. and that makes it tough, we have pass on deals. Second part to your question, or first part of your question Frank?
Frank Lawson: In Shanghai, we are actually opening next month we announced the relationship with the SDF shanghai dated solutions. We are in the process building out again or IBX within that partners site, we announced it, we’re pre selling it and it should go operational next month. So we’re in that process of that, they’re building and watching that product as we said.
Steve Smith: Basically Frank, we took space with a partner we did a lot of research we actually announced this last quarter, but we’re very, very close on some deals now to go in and take that space. My guess is, we’ll take more space on as we fill up the initial commitment. Ultimately, our desire there is, if this partnerships works out as to move towards a larger partnership it could look like joint ventures some day. Keith and I and rest some of the other leaders been all there couple of, it’s a very good team, it’s a very good company they show well and I think we’ll have a lot of multinational traffic it will eventually start to go in there. We’ve got quite a bit of demand that’s interested in going mainland China.
Operator: Your next question comes from Gray Powell - Wells Fargo Securities.
Gray Powell: What kind of bookings assumptions relative to 2009 or better into 2010 revenue guidance and then my follow-up can you talk about the pricing environment in general and whether or not you’re seeing any disparity in demand for new facilities with higher power densities versus older facilities?
Keith Taylor: If you look at the expectations for 2010, our focus in these numbers clearly higher than what we expect for 2009, it is a meaningful step up, as you know we don’t disclose your books as bid, but its north of 15% increased bookings. In many ways, for those who have already spoken to sort of well in Investors Meetings, do you think about the absolute dollar amount of revenue we anticipating selling in 2010 relative to the absolute dollar increase we saw in 2009, there is a meaningful step up in the revenue. So from perspective when you look at our FX neutral basis, we do expect to sell more business in 2010 than in 2009, and as we look forward in time with the investment in the sales force, we expect that to increase in 2011 and then offering in 2012 as well.
Steve Smith: On the pricing environment I understood your question correctly Gray, on HPD type requirements versus going into older centers, it really does depend on metro-by-metro or market-by-market if you will, what the pricing environment looks like a, I think Keith mentioned pricing is pretty down stable across our marketplace. I think where we’re seeing pricing improvement is were getting more volume more interconnection coming into a cabinet, or if it does shifted to more HPD I think you’re seeing an improvement in pricing, but generally we are just holding pretty steady with the currents pricing that out there and negotiating half of that and like I said earlier we’re just not seeing any meaningful change, there’s pressure on lots of deals, but again our sales teams has done a good job staying within the ban that we gotten by. There’s no one due to pressure of it anything that’s going on that’s goofy. Occasional with your deal that will look a little (Inaudible), and again we’re just made the judgment whether or not it’s strategic to us not whether we stay in the game.
Operator: Your next question comes from Simon Flannery - Morgan Stanley.
Simon Flannery: On the capital spending, you’ve guided to by $300 million for the first half and the midpoint of the full-year is $480 million. So does that employ that we’ll see quite a step down in Q3, Q4 from the first half run rate or I think you referred to potential additional projects that you might be looking? You’d also said that this should see you through 2011 on your expansion plan you have cabinets basically flat 11 versus 10. How are you thinking about potentially adding capacity in ‘11, or is that going to be a much lower capital spending year given the capacity you had in this year?
Keith Taylor: When you look at the CapEx, the project that we announced last year, which I’ve excited like DC6, Silicon Valley side, truly New York-4 Phase III and then you think about some of the other project, a lot of it is fund end loaded. So hopefully, when you look at amount of investment that we’re making in the first half of the year, and some of these projects of course opening up in the third quarter, at the end of the third quarter, you get a sense that it is a little bit more front loaded than is back end loaded. All that said, we’re reserving our right to look at additional opportunities in markets, where we could run into additional capacity constraints and Steve alluded to a couple of them in Asia-Pacific, but what we really trying to do is notable be of the size that we’re really talking about with Silicon Valley side of DC6 New York-4 Phase III. So well we continue to do we just make sure we incrementally high capacity and is many markets as we can to sale across our customer base and that’s ultimately what we’re trying to accomplish. It’s probably a little early to give any guidance on 2011. Our sense is that we’re going to continued to sell and as I said and Steve alluded to, we expect to sell more business back end of this year. I mean 2011 and sort of the front end and because of that it’s going to cause us to pay very close attention to what capacity we have and where we have it. So the team is very well disciplined around sort of managing and assessing that as each month goes by and that force is then to decide how we’re going to introduce new capacity into our market.
Steve Smith: I’d add to that is that, as we mentioned you guys many times we have very good process going here now, where the global team meets monthly and we look at demand and competition each market and fill rates and when we’re going to go restricted out of space. So a lot of it depends on the pipeline as Keith just said, a lot of it depends on win rates and fill rates and our philosophy here is to avoid being dark in any of these markets. As long as the demand is there and as long as the return profile is where it is and we haven’t shifted those metrics at all. So, we’re still making decisions on new build based on all those competitive issues you’d expect to look at the same return metric. So, as long as all that stuff remains, Keith and I, and rest of leadership team will continue to review cases and make decisions based on not being out of space in the market whether it’s demand.
Keith Taylor: I’d like to just add one thing. Probably this is an appropriate place to talk about it. One of the things that I think people don’t realize the amount of investment that company has been making in. Looking the revenue opportunity of a billion fiber grade right now, that were built and/or announced. The cost that we've introduced to the model in 2010 is over $38 million of lease costs. All these costs that will come into the model and the question is, how much revenue can we generate out of all these new builds that we have in the U.S., Europe and Asia to offset that incremental cost, but we don’t saw an incremental revenue dollar, what we’re saying is that we would absorb $38 million of costs and that gives you a sense of the order of magnitude of this company has been investing over sort of the short term. I think recognizing that we do fully anticipate that it’s very important, once we get these new assets available that we are going to fill them up as quickly as we can with the right customers and with the right profile and so let me leave you with that.
Operator: Your next question comes from Mike Rollins - Citigroup.
Mike Rollins: A real quick two things, one is on the FX side if you guys give us that what’s in your 2Q in 2010 guidance in terms of FX dilution and then the second thing is time is gone on in the business model the portfolio is to come larger, I think it's been tougher to track sort of 12 months in 24 months penetration are utilization rates in your datacenters, can you kind of give us a sense if you really look at like the class of centers that you added in the second half of ’08 or the one that you have added in the first half of ’09, where that would fit in terms of utilization to try to engage how quickly you’re filling your centers? Thanks.
Keith Taylor: Let me give with the FX first and digest your second question here. On the FX we probably try to do with keep the cost and what the guidance that we used coming off the Q4, the Q4 earnings call. So based the guidance we used for Q1 we have basically held that flat for Q2 in the rest of the year so we’re using 156 to 56 pound.
Steve Smith: Its $36 for the euro and $156 pound
Keith Taylor: 142 sing dollar which represents just maybe a sense 31% of our foreign denominated balances. We don't expect per say any dilution through the remaining part of the year, if you look at Q1 relative to those guidance rates, as you can tell by we saw modest improvement relative to great that not guidance rates of $1 million of the revenue line $500,000 in EBITDA line relative to that guidance. So which is going to hold that flats for the rest of the year at this stage. We recognize that we’re slightly off spot price today, but there is lot of volatility in both the euro and sterling and so. We're comfortable of these states things this is as use that laid on a go forward basis and certainly as we get for backend of Q2 we’ll make a decision whether it's an appropriate assumption to me.
Mike Rollins: So is that meaning the sense that the FX solution for 2010 would be more like $16 million of the year versus the original anticipation of $22 million?
Keith Taylor: No in fact it is the $22 million that's the number we said 20 million last quarter overall now we’re find our numbers knowing before you don't see sort of the quarter end rates of the averages between within the quarter, but we take those rates and applied into a model basically it translates into $22 million hit to as based on the revenue expectations that we otherwise had before we start with the year. So it’s a fairly sizable solution, but the majority of that was really reflected in our initial guidance for 2010.
Steve Smith: Mike, let me to start on the second part of the correspondence still they correctly something in back over the last 12 months, 24 months on utilization, how is it varied by IBX and what kinds of trends that we are seeing. I would say generally on all of our IBXs the fill rates are on plans with a couple of exceptions and even Chicago three that we talked about which was outside of that 24 months which is before that I think you guys near that we have a such a big build-ins start up slow and with the capacity downtown Chicago and it put a little pressure on with this was in our growth is now back up to where we wanted to be. So when you put invest in focus the sales force on these things, you kind of correct these things really quickly and I would say on these wonder just really at Ohio and Chicago we brought on capacity it just, whether as pipeline there, this activity there and jus to really to tell whether or not be utilization rates are going beyond on the track that have been in the past or not. So we don’t have any red flags on any that we’re doing anything unique to try to get back on plan.
Mike Rollins: So maybe to ask you in different way, if you look at the interest that you’re building and had built over the last 12 months. When you want to get to that 100% or 90% utilization points, how many years is that in your planning cycle, or is it like a three years, five years still, how should we think about the piece of sale on average for you centers?
Keith Taylor: I think if you take that normally as Steve alluded to which is LA four Chicago three and you can talk about that even more, we’re looking at the physical capacity within roughly two year period and then there is usually incremental to that there is a three year power tail to so we don’t anticipate filling up all or the customers will not fully procure all of the power for optimal five year period, that’s what we are planning from a modeling perspective. So when you tied that back to one of the things we do as a company and Steve alluded to the discipline around our REIT strategy which is real estate and expansion strategy is making sure what are the team presented, how they are doing relative what they told they are going to do and then whole accountable for that and this eight out ten I don’t know two that was just referred to are added better than the target rates that we accept for ourselves. The way we measure that as revenue and of course cash flow EBITDA and that gives your sense of where we are I think it’s also important to know when we look at Chicago, when we look at LA four and for that matter a few years ago and Tokyo two, despite the fact that the teams came off slightly of the expectations, we want them to continue to maintain pricing discipline and we still look cash is out the door there is nothing you can do to take that back, what you can do is make sure you don’t do a bad deal to trying increase the occupancies. So we have be very disciplined around making sure we got the right deal in the right markets with the right customers and that really has been the main state of our focus. Don’t to the dump here was make sure you’ve got to the right deals and that will pay dividends in the long term.
Operator: Your next question comes from Sri Anantha - Oppenheimer & Co.
Sri Anantha: Yes, thank you and good evening Steve I had a question about this ecosystems could you just give us an update on the ecosystem and where you are and maybe if you can just give us little color on what the customer up tick has been so far that would be helpful and also you talked about the cloud ecosystem as you been these ecosystems longer term as some of your customers become really successful do you think or they become large enough do you think that persons are risk because clearly we are fearing that they are setting customer have big enough they are migrating some of their services either to like an Amazon cloud and we are the hosting as completely taken away under their control. Thank you.
Steve Smith: Yes let me Jarrett with us today and we can get he actually is driving this but I can tell you the Ethernet launch went up with out an itch we launched I think on April 12, we’re doing at in spaces we’ve announced five markets to kick this off we got the gear deploy and Jarrett has team have become later about 24 customers that are in the middle of contract negotiations with us now to get their jumps started. So we’re very happy were above internal targets we said the launches thing and Jarrett what else would you add to the.
Jarrett Appleby: Class 8 we brought the customers and the development program we announced in October, last week we announced 24 partners in there are 90 Ethernet, 90 providers already due Ethernet for our customers today their not on this switch to work on laid in and leveraging our existing relationships and helping them solve this problem in many-to-many environment. Not big dollars this year we’re focused on bringing those new network players to the table.
Steve Smith: Now all that is focus dream predominantly on adding more emphasis into the interconnection space for us and providing the value that I talked about today and my prepared remarks the second thing on cloud I would tell you. Depend who you want to believe certainly the size of the market the phase at which people are deploying and looking for cloud with we want to be as much of the on and off to the cloud as we possibly can both public and private so we are cumulating in the 100s of deployments of cloud providers around the world the hosting guys the man at service folks that the infrastructure platform in software of services folks so there is a lot of activity, there is a general manager and a team focused on this around the world we have the sales forces are focused on this and we’re cumulating some of the primary public and private deployments and once you get a key magnetic deployment like that one you mentioned, other people want to come in connect it. So that’s part of the ecosystem strategy and that’s the core of our strategy and I would tell you that you’re going to continue to hear more and more success out of the cloud sector from us.
Keith Taylor: Just to touch on the other thing you said about some of the size and where you’re hearing people are moving. So you said people are moving out of us, are they migrating or growing it. I think what’s important to realize, they’re certainly in both cases, there are customers who are going to get to a size, where they’re going to have to make their decisions, it was really important is going back to what Steve and Jarrett, and Jason, and I talked, but more network assets sitting inside our IBX is number one. So if we’re saying this people need a large amount of space this more commoditized that component is probably going to outsource to another provider that’s not really were at things are going to play. Also we’re going to focus on that core piece and when you talk about people pushing stuff to cloud, close back to Steve’s comment and you have recognized a lot of those, could providers already sit inside Equinix, we validates our model and so we know a number of customers are using AWS and they’re using ourselves and that tell me, that place into two of the three verticals that we have real stronger and in.
Sri Anantha: Steve and Keith, Keith just one maybe if I missed it, what was the Cabinet churn in U.S. this quarter?
Keith Taylor: The Cabinet churn was in the low 400s.
Operator: Your final question comes from Jonathan Schildkraut - Jefferies.
Jonathan Schildkraut: Lot of good questions today as well a color in the commentary, so I’ll try to keep it tight. Two questions, first how do you deal with stranded capacity? I know that you talked about capacity constraints in certain markets and some customers churn, the new customer come in. Sometimes you end up with some stranded capacity in certain data centers. I was wondering if that’s an issue and if so how you deal with it. Secondly, you’ve talked a lot of that making investment further on the sales team and something you discussed now for too close in a row. I’m wondering if included in that conversation is turnover upgrading in some sales folks in. Have you seen turnover this year inline, we had heard some reports that was a little more turnover in the U.S. based sales team. Thank you
Steve Smith: Jon, let me deal with the first question and pass it over to Steve. If you look to our older datacenters, if you recall we really migrated on models physically to be(inaudible) I trying to talk I mean if you look at all the data centers if you recall we’ve really migrated on models physical capacity to basically sell those units. So, a number of years back really sort of addressed the issue of capacity and those by memory reserves we lost by 25% of the physical space for older data center. That all said, as you look today that there is – there the employer was depending what the deployment is and how our customer re-architectures or deploys an infrastructure into our facilities on numbers we’ll continue to move up and down. So, when you look at our total inventory capacity or what we call a net saleable cabinet, equivalent capacity their numbers going to continue to move around to address one customer might drive to 10 KW per cabinet, where another customer might be only draw in 2KW per cabinet in our 4KW IBX, and so we are always monitoring that there was a team that’s focused on inventory management inside Equinix and looking on per IBX basis and then looking at how the inventory in engineer around different employments and that’s why I think it something that we’re well ahead of in addressing for our industry and technique for our company.
Steve Smith: On the sales front, if I get into that, I just want to correct some, I said earlier to Sri’s question, I think the capture in the U.S. has been low 500s (inaudible) 400s, 400s was last quarter, this quarter is low 500s in the U.S. in cabinet. But Jonathan, on the U.S. or on the sales investments there has been a couple turnover, but we measure turnover in voluntary and involuntary as you know and I can assure you that the turnover, the couple of people that have left have been because of performance issues. But there is a big focus on sales investment and the company and general and we just feel at the time when the demand is still in our favor and we’re not having to create as much demand as we have in the past. Now is the time to invest to focus on these ecosystems get them deeper into conversations that Jarrett talked about. We are having more application conversation with our customers, we’re having architectural conversation with our customers and so that’s going to require training. But raising the bar we want to call higher in the organization, we want to go deeper in the organizations and some of that’s going to require investment training or a sales force and also more feat on the street because of the bookings target that Keith talked about earlier. So, I think it’s going to get bigger and so we are just getting ahead of the curve now making investment now.
Operator: This concludes our conference call today. Thanks for joining us.